Operator: Welcome to the Synaptics fourth quarter and fiscal 2008 conference call. (Operator Instructions) I would now like to turn the conference over to Alex Wellins of The Blueshirt Group.
Alex Wellins: With me on today's call are Francis Lee, the company's Chief Executive Officer, and Russ Knittle, Synaptics' Chief Financial Officer. We'd like to remind you that during the course of this conference call, Synaptics will make forward-looking statements, including predictions and estimates that involve a number of risks and uncertainties. Actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's SEC filings, including Form 10K for the fiscal year ended June 30, 2007, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statement. We expressly disclaim any obligation to update this forward-looking information. With that said, I'll turn the call over to Francis Lee.
Francis Lee: Before providing an overview of our record annual results, I'd like to make you aware of two important developments also mentioned in our press release this afternoon. Specifically, we are pleased to announce that our Board of Directors have approved a three-for-two stock split as well as authorization of the repurchase of up to an additional $80 million in common stock under our share repurchase plan. These actions further underscore our confidence in Synaptics' future and demonstrate our ongoing commitment to enhancing long-term shareholder value. Now two comments on our operating results. Our strong fourth quarter performance capped off a record year for Synaptics in both revenue and non-GAAP profits. Our results reflect continuous solid execution by the Synaptics team, and I'm very proud and appreciative of our employees' efforts and grateful to all of those who contributed to our success in 2008. Revenue for fiscal 2008 was $361.1 million, an increase of approximately 35% over the prior fiscal year. Non-GAAP net income for fiscal 2008 grew almost 37% to $51.4 million or $1.96 per diluted share compared with $1.31 per diluted share for fiscal 2007, a 50% increase. During fiscal 2008, revenue from PC applications grew approximately 21% and represent approximately 76% of total revenue. We maintained our leadership in the notebook market and benefited from the ongoing adoption of our multimedia control modules in notebooks and increased demand for our PC peripheral application. Revenue from non-PC applications grew approximately 118% in fiscal 2008 and represented 24% of total revenue. This is up from 15% of total revenue in fiscal 2007. This robust growth primarily reflects our progress in diversifying our revenue mix based on our growing traction in the mobile phone market. On that note, I'm pleased to report that revenue from mobile phone applications was approximately 13% of total revenue for the year. Much of this success is being driven by strong interest in our ClearTouch solution. We continue to build momentum for [inaudible] interface solutions within the cell phone market. I would now turn the call over to Russ for a detailed discussion regarding our fourth quarter results.
Russ Knittel: In addition to our GAAP results, I'll also provide supplementary results on a non-GAAP basis, which excluded noncash share-based compensation costs and other-than-temporary impairment charges related to our investments in auction rate securities. Revenue of $96.9 million for the fourth fiscal quarter was about the high end of our guidance and was up 23% sequentially and 35% over the comparable period last year, resulting in our second-highest quarterly revenue to date. The revenue mix from PC and non-PC applications was approximately 68% and 32%, respectively. Relative to our expectations going into the fourth quarter, our [turns] business was highly skewed toward mobile phone applications, resulting in lower-than-expected revenue from PC applications. As a result, our year-over-year growth from PC-based revenue was approximately 3%, while our nonPC revenue grew approximately 3.9 times. As we've discussed in the past, our performance within specific accounts and vertical markets may vary on a quarter-to-quarter basis due to a combination of normal design win fluctuations, the product lifecycles of our customers' products, and the way we prioritize our resources to try to optimize the opportunities available. Based on these same dynamics, we anticipate that increased demand for PC applications will be a key driver of revenue growth in the current quarter. The attach rate in notebooks for multimedia controls in the fourth quarter was approximately 37%. This likely represents a peak, as we have been the clear market leader for these applications. But as other entrants compete for this business, customers are looking to add additional sources of supply. In the fourth quarter, revenue from nonPC applications grew $23.3 million year-over-year, representing approximately 92% of total revenue growth. This growth was driven by a significant increase in demand in mobile phone applications, which represented approximately 31% of total revenue in the quarter. Our non-GAAP gross margin, which excludes non-cash share-based compensation charges, was 40.2% compared with 41.3% in the March quarter. This was in line with our expectations and was primarily a function of our overall product mix. Total headcount at the end of June was 420, an increase of 28 employees compared to the end of the March quarter. During fiscal 2008, we increased our headcount by approximately 35%, which followed a 23% increase in fiscal 2007. Total operating expenses were approximately $28.2 million in the fourth fiscal quarter, which includes noncash sharebased compensation charges of $4.7 million. This compares with operating expenses of $25.7 million in the preceding quarter, which included non-cash share-based compensation charges of $4.5 million. The increase primarily reflects higher compensation costs related to our recruiting initiatives, product development related costs, IT infrastructure costs, and legal fees related to our ongoing patent litigation. Non-GAAP operating expenses increased 32% year-over-year as we continued to invest to grow our business while increasing our operating leverage as non-GAAP operating profit grew 50% in the same period. Net interest income was $900,000 compared with $1.8 million in the prior quarter, primarily reflecting a reduction in the average invested cash balance during the quarter as we used approximately $36.6 million to buyback 1.1 million shares. As we noted on our last call, we continue to monitor and evaluate our investments in auction rate securities on a quarterly basis. None of our failed auction rate securities have defaulted and all of them are paying interest at the contractual rates, however, based on our fair value analysis at the end of the fourth fiscal quarter, we have taken an additional write-down of $4.7 million for other-than-temporary impairments, bringing the total year write-down to approximately $7 million. There are indications that the liquidity issues related to auction rate securities are beginning to be addressed. In fact, in the June quarter we saw redemptions of $1.2 million. At the end of the fourth fiscal quarter, our total par value investments in auction rate securities was $47.4 million and the net carrying value of $37.9 million has been reclassified as non-current assets on our balance sheet. We believe that our current cash balance and demonstrated ability to grow strong cash flows from operations will allow us to hold our failed auction rate securities until such time as the liquidity issues surrounding these investments are resolved. We will update you again next quarter as necessary. Our GAAP and non-GAAP tax rates for the quarter were 60.8% and 34.3%, respectively. The increase in our GAAP tax rate is primarily the result of not providing tax benefit on the other-than-temporary impairment of our auction rate securities, which would generate a capital loss if disposed of at this time. Our non-GAAP tax rate is up slightly relative to our guidance, primarily due to the geographic mix of taxable income. Net income in the June quarter was $2.6 million or $0.11 per diluted share compared with $7.4 million or $0.27 per diluted share in the comparable quarter last year. Excluding the after-tax impact of $3.3 million of non-cash share-based compensation charges and the otherthantemporary write-down of $4.7 million for certain auction rate securities, our non-GAAP net income in the June quarter was $10.7 million or $0.46 per diluted share. Non-GAAP net income for the June quarter of 2007, which excluded the after-tax impact of $2.5 million of non-cash compensation charges, was $10 million or $0.36 per diluted share. Now a few comments on our balance sheet. We ended the fiscal year with total cash and short-term investments of $146.5 million compared with $185.7 million at the end of the March quarter. Cash flow from operations was approximately $24.8 million for the quarter and $75.6 million for the year. Stock option exercises and authorized stock purchase plan contributed approximately $1.4 million for the quarter and $24.8 million for the year. And as I mentioned earlier, we used $36.6 million during the quarter under our authorized stock repurchase program. For the year, we used $165 million to buyback 5.5 million shares. The sequential decrease of $39.1 million in our cash and short-term investment balance also reflects the impact of the reclassification of auction rate securities from short-term to long-term investments that I referred to previously. Capital expenditures were $1.1 million for the quarter and approximately $7.1 million for the year. A significant portion of capital spending for the year was related to additional investments in infrastructure and test equipment. Capital depreciation was $1 million for the quarter and approximately $3.8 million for the year. Receivables at the end of June were $69.4 million compared to $57.8 million at the end of March, primarily reflecting the impact of the sequentially higher revenue level. DSOs at the end of the quarter decreased to 64 days compared with 66 days at the end of the prior quarter as we benefited from federal revenue linearity within the period. Inventories at the end of June were $21.1 million compared with $20.3 million at the end of March. Inventory turns in the quarter improved to 11 times compared with 9 times in the prior quarter, primarily as a result of the increased revenue level. Now I'd like to make a few comments regarding our business outlook. Based on our June quarter ending backlog of $50.3 million and other current indicators, we believe our quarterly revenue will for the first time surpass the $100 million mark. We anticipate revenue for our first fiscal quarter to be in the range of $108 to $114 million, a 25% to 31% increase over the comparable period last year. This anticipated strong revenue growth is expected to be driven mainly by increased revenue from PC and personal media player applications as we expect revenue from cell phone applications to decline from the extremely strong levels we saw in the June quarter. The decline in cell phone revenue is a function of the lifecycles of our customers' products and the timing of production ramps for new designs. Given these ongoing dynamics, we anticipate quarterly fluctuations in revenue from cell phone applications going forward. Based on the anticipated product mix for the first quarter, we expect our non-GAAP gross margin to be around 40%. We expect our operating expenses to continue to increase, reflecting the impact of our ongoing staffing initiatives, the growing pipeline of design opportunities, and additional legal expenses related to our current patent litigation. For the September quarter, we expect the impact of FAS 123R on our operating margins to be approximately $5 million compared with $4.7 million in the June quarter. We currently anticipate that our non-GAAP tax rate for fiscal 2009 will be in the range of 22% to 25%. Non-GAAP net income per diluted share on a pre-split basis for the September quarter is expected to be in the range of $0.60 to $0.68. Taking into account the effect of the stock split, non-GAAP net income per diluted share is expected to be in the range of $0.40 to $0.45. As we look ahead, taking into consideration the current macroeconomic environment and other factors, which includes the dynamic nature of the markets we participate in, our existing design wins, current design activities and identified pipeline of opportunities, our current outlook suggests that revenue may grow 20% to 30% in fiscal 2009. We're very pleased with our fiscal 2008 performance and anticipate fiscal 2009 will be a record year for revenue and profitability. I'll now turn the call back over to Francis.
Francis Lee: Our results clearly reflect the macro trends supporting the digital lifestyle as touch technology becomes more and more pervasive across a wide variety of products. Now let's move on to a discussion of our recent product developments on both the mobile and PC fronts. Last quarter we touched on the benefits of our ClearTouch technologies and design wins on the Samsung Soul and LG Secret mobile phones. We also highlighted another OneTouch chip design on the Samsung 210 personal media player. Design activities continue to be strong across our target markets, and I'd like to make a few comments about specific progress we have made over the past few months. At [Computech] Taiwan, we announced the general availability of our proximity-sensing solution, a sensor that detects a user's presence before they actually touch a device. This activates a variety of functions such as illuminating [capacitive] buttons or instantly [working] a device from power-saving mode. Proximity sensing is an important development for a number of exciting applications. It can solve both industrial and usability challenges and give devices a simple and clean appearance. Our first design win leveraging proximity detection was in 2007 with the Microsoft 8000 keyboard, and we are now pleased to be able to apply this technology across multiple products. For example, we are proud to announce two widescreen flat-panel monitors from Dell. They incorporate Synaptics LightTouch capacitive buttons with proximity-sensing functionality into the monitors' frames. When a user's hand approaches, the controls light up and become active and are used to change the display settings. This product [inaudible]. Our Synaptics OneTouch solution has also been designed in the new 22-inch monitor from Lenovo. It features six hidden capacitive buttons that allow users to activate and choose menu options as well as a touch scheme that allows the controls to be visible when required and disappear into the frame when inactive. This monitor is currently shipping in Asia is another great example of how Synaptics technology can improve industrial design. And lastly, in the PC space Dell is now offering Newton Peripherals' innovative MoGo mouse, a thin, wireless capacitive technology based mouse using Synaptics capacitive ScrollStrip. Dell is now selling the MoGo mouse through the Dell online configurator for its popular line of [inaudible] PCs targeted at small and medium businesses. Turning to the mobile phone market, the Sharp SH906i flip phone from [inaudible] is the first ClearPad-enabled touchscreen phone in Japan's mobile handset market. Synaptics ClearPad technology enables single-input recognition for Japanese character entry. In addition, capacitive sensing-enabled text entry allows the user to access and control any number of applications and menus in an efficient and intuitive manner. It's fast, easy to use, and accurate without using a stylus. This phone also uses Synaptics interface to scroll through TV channels and adjust volume. This is an excellent example of how Synaptics ClearPad solution can improve visibility for regions with character-based languages. Synaptics is also providing a ClearPad-enabled touchscreen with configurable settings for the Samsung Tocco F480 mobile phone. This phone features larger capacitive buttons and intuitive virtual soft keys that are well suited for capacitive touchscreen interface. With both audio and haptic vibration feedback that responds to the use of touch, the interface gives a familiar feel of pressing a traditional button. The Tocco is currently shipping in Europe. Lastly, Samsung's also begun shipping two new personal media players, the YPS3 and the YPS5, both featuring Synaptics LightTouch capacitive button. Our interface allows users to easily access and navigate content and applications through intuitive interface. These design wins demonstrate our continued momentum within the PC, peripherals and hand-held markets and further highlights the flexibility we offer OEMs in leveraging a broad range of features and design options. By offering both modular and chip-based solutions, we continue to provide a wide choice to our customers, enhancing their ability to create sleek, innovative new products featuring the rapidly evolving digital lifestyle trends. Fiscal 2008 was a stellar year for Synaptics despite a backdrop of general economic uncertainty. It's evident from our financial results that the business is healthy on all fronts and that our strategies to drive revenue growth both within our core and newer markets are working. I think it's important to note that we achieved terrific financial results while adding 35% to our headcount in fiscal 2008. To continue this momentum in support of growth objectives, we will maintain our aggressive worldwide recruiting trend as we head into the new fiscal year. We expect to continue adding staff to further extend our design presence outside of the U.S. in order to support our customers' global needs. Since going public six years ago, Synaptics has grown from $100 million in revenue to $361 million. We've been [inaudible] a compounded annual growth rate of 24%. At the same time, we have gone from 174 employees to over 400. As we continue to scale the company, we must also scale a management team that helps direct our growth. To this end, I'm very pleased to announce Executive Vice President and General Manager Tom Tiernan has been promoted to the newly created position of Chief Operating Officer, reporting to me. Tom will also assume the role of President and will sit on the Board of Directors. This is another indicator of our commitment to drive our business with an ongoing focus to capitalize on the growth opportunities that lie ahead. As we move forward, our biggest challenge remains aligning our resources while growing design opportunities. We must design what new markets invest in, as our technology can be broadly leveraged across many different verticals. As in the past, we will maintain a disciplined approach by [patronizing] and pursuing those areas that we believe offer the best ROI. The most recent example is the mobile phone market. Several years ago we recognized tremendous potential to leverage our technology in mobile devices, so we began investing in this area. This resulted in prototypes such as our Onyx Concept phone, which led to the release of our ClearPad solution and the first capacitive-based touchscreen phone, the LG Prada. As we do in all of our markets, our goal is to establish a broad footprint, engaging with all the top-tier cell phone manufacturers. We're excited that our investment is beginning to pay off in material revenue for Synaptics, and I believe it's another clear sign that our diversification strategy is working. As we enter fiscal 2009, we see emerging trends [toward] leveraging capacitive-based interface solutions in today's increasing complex devices. We expect to continue our strong trajectory and to play a pivotal role despite a growing competitive landscape. While we remain mindful of the broader economic environment and always cognizant of the challenges we face in the dynamic, fast-paced markets we serve, we believe underlying business fundamentals are strong. We are the technology and service leader in our sector, and we remain confident in our long-term growth strategy to drive continued success in fiscal 2009 and beyond. That concludes our formal remarks.
Operator: (Operator Instructions) Your first question comes from Heidi Poon - Thomas Weisel Partners.
Heidi Poon - Thomas Weisel Partners: First, I'd just like to ask you to give a little bit of color on the September guidance. You said it's going to be mainly driven by PC and PMP. Could you give us a sense of what you're hearing from your customers? I guess there's some recent chatter about, you know, some concern given the U.S. demand picture.
Russ Knittel: Well, we understand that there are concerns in the broader macroeconomic environment, but we did go into the quarter with over $50 million of backlog, and we've seen fairly strong order patterns in the first month of the current quarter. So our guidance is really predicated on our specific circumstances as a company and we feel pretty good about our ability to achieve the outlook we've provided for the September quarter.
Heidi Poon - Thomas Weisel Partners: And also, based on your fiscal 2009 forecast of 20% to 30% growth, does that suggest just directionally that December could see stronger sequential growth than what you guided for September? I know that you're no longer giving two quarters guidance, but maybe it's just qualitatively give us a sense of what would be driving that.
Russ Knittel: Well, generally the December quarter has been our strongest quarter historically, but we're not providing guidance for the December quarter. So current quarter we think up 25% to 31% year-over-year and current outlook suggest 20% to 30% for the full fiscal year.
Heidi Poon - Thomas Weisel Partners: Also could you describe, maybe, would there be more rollouts of phones from other OEMs that you have not worked with before?
Russ Knittel: We do expect to continue to grow our customer base within the cell phone market. That is one of our objectives. When we go after a market the goal is to get as broadly adopted as we can.
Heidi Poon - Thomas Weisel Partners: My final question is about margins so, since you're still at the low end of the 40% to 45% range, could you give us a sense of how it will look like in '09, especially as you ship more of the OneTouch solution perhaps in the December quarter?
Russ Knittel: Well, looking at the mix for the current quarter, we believe our margins will be around 40%, which is at the low end of our overall targeted range of 40% to 45%. But at this time we don't think it's necessary to change that overall target. If we get to the point where we think changing the targeted range going forward is required, we'll update you then.
Heidi Poon - Thomas Weisel Partners: Is this [bad]? With more PC and PMP shipments, would they be more module weighted rather than OneTouch solution weighted versus more cell phones?
Russ Knittel: Well, margins last quarter, where we had very strong cell phone revenue - we're slightly over 40% - and in the September quarter, where we're expecting the revenue growth to come primarily from PC applications and personal media applications, margins are relatively in the same range. So as we've discussed in the past, our gross margins are really a function of the specific designs, and there's very little relationship between margins and the markets that the end products sell into.
Heidi Poon - Thomas Weisel Partners: Could you give us a sense of the OneTouch mix in this quarter?
Russ Knittel: Well, we don't break out OneTouch revenue specifically. We can tell you that OneTouch is doing exactly what we had expected it to when we initially launched in the marketplace with that solution. It's given our customers a choice in the ways they engage with Synaptics, and we've been very pleased with the response there. And we have customers that, within their products lines, in one case are moving into OneTouch solutions and in the other case working with us to develop custom modules that we provide to them in full modular form.
Francis Lee: And Heidi, there's also - there's [no] question that we are seeing increased adoptions. Yes. Undoubtedly we are seeking increased adoptions of our OneTouch solution in our revenue mix.
Heidi Poon - Thomas Weisel Partners: This fiscal year?
Francis Lee: Yes, and moving forward as well, I believe.
Operator: Your next question comes from Robert Stone - Cowen & Company.
Robert Stone - Cowen & Company: I wonder if you could give us a sense, Francis, of the number of phone designs that were shipping in the latest quarter, whether that was up sequentially from the prior quarter.
Francis Lee: Well, Rob, we have kind of stopped counting the number of designs in production manufacture for obvious reasons, right? I mean, there's more than a handful now and as it's increasing, it's harder and harder to track, much like, hopefully, just like our notebook market. We don't keep the number of models that are adopting our products, okay? As you can see from the percentage of revenue that we achieved in the June quarter, it is getting to be a bigger and bigger portion of the revenue mix. But also, instead of counting the number of models, also the number of geographic areas each particular model plays in, they could have higher and higher volumes. So Rob, I would ask that you just not kind of look at number of designs, but also look at the global reach of our cell phone applications that's being distributed over the world. And a lot of those [inaudible] now are GSM-based solutions and it's Pan-European, going to the U.S., going to Japan. It's hard now to pinpoint a cellular phone market in terms of spectrums of technology that have not seen our solution.
Robert Stone - Cowen & Company: What I'm trying to get at, I guess, is to put together your comments about the high amount of turns business in the quarter and then the fact that you're expecting the contribution from nonPC to be weaker in the September quarter and what the product lifecycle is for these things. Ordinarily one would expect, for instance, that - and I know you're not guiding for December - but that there would be new product launches geared towards the fall timeframe. Is it such that we could have another design-in cycle and turns business between now and the end of the calendar year, for example.
Francis Lee: Hey, Rob, first of all, make sure you understand - design activities remain very robust, very strong, okay? So from a business outlook perspective, just like we said in the remarks, we think '09 is going to be a humdinger of a year for Synaptics. So we say that. Then, keeping mindful now, this particular quarter, the September quarter, is probably the first quarter we're going to break a century mark in terms of $100 million with the company, right? Okay? So as such, the revenue mix in there, now we're dealing with bigger and bigger numbers here, Rob. Another point, okay? Then the other thing about it is when you look at cell phone lifecycles here, typically they are probably less than a year, it could be 9 months; it depends geographically again, okay? And some of them could be as low as six months. Okay, Rob, you know? And the characteristics of that is a lot different than the notebook market. And frankly, we're a new player in that field. We are navigating through the launch cycles, the production cycles. Before we get to sustained volume and critical mass in this particular area, you're going to see those fluctuations. But that's not because we are losing momentum or our leadership, our role in terms of getting into the ClearTouch products and so on and so forth is being diminished, right? Clearly, there are lots of competitors out there, but we are also mindful and confident. So in forecasting this quarter's revenue profile, this just happened to be how the revenue mix comes in, Rob.
Russ Knittel: The backlog is really skewed towards PC and personal media applications and even the orders we've received for the first month of the quarter are skewed in that direction. So, as I said in our prepared remarks, it's really a function of fluctuation in design wins and new product launches of designs that we've been awarded that are not yet in production. So as we move forward, I do expect to see fluctuations in the different verticals. But remember, what's important for us at this point is to prioritize our resources for those design opportunities that we think will drive higher ROI. And so really what we're seeing, I think, is the benefit of our revenue diversification objective so that, when you're seeing cycles in one area, with designs going to end of life before new designs launch, what you hope for is the other areas you're in offset for that and allow you to project total overall revenue growth for the company, which is what we're doing. I mean, we think our guidance for the current quarter, up 25 to [break in audio] able to provide an outlook of up 20% to 30% for the entire fiscal year.
Robert Stone - Cowen & Company: That was a perfect segue into my follow up question, Russ, which is, with respect to the PC business, it feels like a shallower than market trend in this quarter, but in the September quarter the revenue guidance you're talking about feels to me like it's above the unit growth trends for the market. Can you comment on where you think your market share is and what your sense of PC market growth rate in notebook units is?
Russ Knittel: Well, the latest IDC estimates that I've seen for notebook unit growth in '09 compared to '08, it's up 25%. And our view in terms of our market share within notebooks, we believe that we continue to hold market share greater than 60%.
Robert Stone - Cowen & Company: Finally, a housekeeping question with respect to the buyback. You had a new $80 million authorization. Is there any amount remaining from the prior authorization?
Russ Knittel: There was slightly under $3 million left.
Operator: Your next question comes from Jeff Schreiner - Capstone Investments.
Jeff Schreiner - Capstone Investments: Francis, Russ, if I could get a little help here on just what you guys are seeing. There's been a lot of talk about the strengths here reaccelerating notebooks in the September guidance. In terms of the competitive landscape for notebooks, are the primary - and I want to highlight the primary - OEM design wins and losses still really coming between you and ALPS at this time for what you can see?
Russ Knittel: That's our view of the market. We really don't think the competitive dynamics or the landscape within the notebook market has changed at all.
Jeff Schreiner - Capstone Investments: And do you attribute anything to this? Is there other market dynamics that may be driving this or what does the company see as a real competitive barrier?
Russ Knittel: Well, it's kind of been a two-horse race now for the last five to six years, so I think it's hard for new entrants in this market when you look at touch pads, specifically. OEMs rely on these two suppliers to make sure that they have no disruption in the availability of their products, and that's certainly something I think both companies have demonstrated here. And the reason we lead the market is we're innovator in the marketplace and ALPS is a follower. And so when you look at the 60plus market share for us relative to their market share in the overall market, we think it's a reflection of that, that we are the innovator. So as I mentioned on the call, we're starting to see - they now have capabilities with the multimedia controls in notebooks which they didn't have, and this is very similar to the dynamic that occurred back in 2001 and 2002 when we led the market for the initial dual pointing solutions. You know, they ultimately caught up in capability and it's the natural tendency of the OEM customers we support to want to have multiple sources of supply to the extent that they can.
Francis Lee: And Jeff, one more point here. When you look at - you ask about competitive dynamics here. The value proposition for Synaptics is able to provide a solution basically from design concept to production. And the reason why we have been winning here is because we have been the innovator, just like Russ said. We provide a complete solution from software, frameware, mechanical solutions, electronics and so on and so forth, so that basically it's a turnkey solution for our OEM and ODM partners, providing them with a lot of great ideas. And that formula has led to continuing success and [account] penetration, and resulting in order, you know, with the leadership position we're in today. I hope you also got the message we talked about, that we do have a diversification strategy and we do have to make choices at times about where we get - either strategically or return on investment, we want to invest in our new designs in. And sometimes that could result in share shifts and stuff like that. But keep in mind, we [feel like] and we still intend to be the leaders in the notebook space. So to comment on competitive dynamics, we know them quite well. We believe the competitive dynamic [inaudible]. It's going to be continuous. They have customized solutions out there. Every now and then there'll be new entrants and stuff like that that come into play. They will take maybe part of the business. For example, mechanical solutions, a good piece of the businesses, right? It's one way for the [inaudible] solution. But it really is two companies - ALPS and Synaptics - that own the lion's share of the [inaudible] in the notebook space, Jeff.
Jeff Schreiner - Capstone Investments: Francis, maybe you could also clarify for us, there's a lot of chatter out there sometimes that, if the world multitouch isn't associated with the design on a handset design, that more than like you guys are not participating in that. Could you clarify that for us? Do you need to say multi-touch to assume that Synaptics may be part of the design?
Francis Lee: Well, first of all, when you look at multi-touch, it may mean different things to different people. Somebody calls it [inaudible], somebody calls it multi-touch. So in the absence of a context here, Jeff, I don't really know what you're trying to - what the meaning behind it is. But I can tell you that as devices have more and more functionality, more and more application at the device level, at the [client's] level, you need to have intuitive ways of interacting with them. Multi-touch in general is a way to, again, detect a certain pattern. Sometimes it may be [inaudible] fingers, okay, onto the touchpad or the interface devices, and then it will recognize and interpret what that really means. Synaptics has the capability to do gestures, and we've been talking about it for a long time and we have implemented it in a number of application devices. So certainly, we are very proud of the fact that we have the technology and innovation to go with that.
Operator: Your next question comes from Anthony Stoss - Craig-Hallum Capital.
Anthony Stoss - Craig-Hallum Capital: Can you comment about your blended ASPs on the notebook side, whether or not they're continuing to move higher?
Russ Knittel: Okay, again, gross margins are really designed by design specific, Anthony. If you look at our total portfolio of products that we're shipping today, gross margin ranges can be fairly wide. As I've indicated earlier, within some of our custom module designs, the gross margin range can be more than 30 percentage points. And again, that's relatively independent of the market that the end device sells into.
Anthony Stoss - Craig-Hallum Capital: Also help us understand, was the quarter linear?
Francis Lee: Are you talking about this quarter or last quarter?
Anthony Stoss - Craig-Hallum Capital: The June quarter.
Russ Knittel: It just means we saw - our revenue across the quarter was more evenly distributed across the months than it was in the March quarter. The March quarter was a little bit more backend loaded.
Anthony Stoss - Craig-Hallum Capital: And also, you know, last quarter you updated us on kind of new wins in the GPS side. Any new updates there?
Francis Lee: Well, Anthony, we have not made formal remarks about GPS shipping products and any GPS devices.
Anthony Stoss - Craig-Hallum Capital: I think what everybody's trying to get at is seasonally the cell phone industry is stronger in the September quarter than it is in June. What kind of visibility do you have into your customers' inventory per se and could that explain part of the falloff in your cell phone business in September?
Russ Knittel: We really have very little inventory visibility as it relates to our customers. And some of the products, as Francis said, the lifecycle in the market is probably six to nine months, and we have seen on some models, I think, where we're shipping the bulk of what we're going to provide into those designs within a three to four-month period. But our visibility into their actual inventory levels is not high.
Operator: Your next question comes from Yair Reiner - Oppenheimer & Co.
Yair Reiner - Oppenheimer & Co.: A question, again, on the mobile part of the business. Can you give us a sense of your design concentration there? Is it a matter of a few handsets are driving the bulk of revenue or if you can give us a sense of kind of the distribution of where that $30 million in revenue came from?
Russ Knittel: It's a function of both our OneTouch solutions and our ClearTouch solutions. And given that, as we've discussed before, the ASPs vary dramatically between modules and OneTouch, again, the unit volumes in cell phones today for us are skewed toward OneTouch designs and revenue and the actual revenue is skewed toward the modular designs and, as Francis said in his comments, we're seeing a lot of traction for our ClearTouch solutions. Last quarter we announced both the LG Secret and the Samsung Soul, both of which use our ClearTouch technology, and this quarter we announced the Sharp phone and another Samsung phone, the Tocco, both of which use our ClearTouch solutions, and those are all modular designs.
Yair Reiner - Oppenheimer & Co.: And when we look at that $30 million, what portion of that comes from phones that you've announced versus ones that you're shipping but haven't made public?
Francis Lee: Everything that we talk about in the June quarter obviously is a product that's already in production, so I guess I don't quite understand what you're -
Yair Reiner - Oppenheimer & Co.: My question is, what portion of that is from design wins that you haven't been able to announce publicly?
Francis Lee: Typically we don't talk about design wins by OEMs anyway so, by the time we talk about it in a prepared remark on in a text communiqué or in press releases and stuff like that, it's already a product that has been shipping. So when I talk about design activities, I can comfortably tell you that we're engaging with all the major cell phone OEMs and those products, put into production, and we will announce it.
Yair Reiner - Oppenheimer & Co.: In terms of the MP3 business, it looks like you had maybe just a couple of million of sales this quarter. Can you kind of explain what's happening in that market? Was it a matter of some pulling in last quarter or pushing out this quarter? And related to that, has the visibility into kind of the all-important December quarter improved?
Russ Knittel: Well, that is the market that we have the least amount of visibility in, as we've indicated earlier, and so our visibility there is really based on orders that we're seeing from customers that are expecting to incorporate our products into their products during that period of time. We did announce two new design wins, both from Samsung, in the prepared remarks, the YP3 and the YP5 device. But that is a market that's more opportunistic for us and visibility is limited.
Yair Reiner - Oppenheimer & Co.: Incrementally, any change in visibility into the fourth quarter?
Russ Knittel: We haven't provided any guidance relative to the fourth quarter specifically.
Operator: And we have no further questions.
Francis Lee: Well, thank you for being on the call today. It was really a remarkable year for Synaptics, with record revenue and non-GAAP profits. We continue our strength in the PC market while also demonstrating the merit of our diversification strategy, and we have a bright future ahead of us as the applications enabled by our technology continue to expand. I'd like to conclude by again thanking our employees, partners, customers, Board members and you, our investors, for your support over the past year. I look forward to updating you on our progress during the coming year. Thank you very much.